Nathan Ryan: Good morning and welcome to the Perseus Mining Investor Webinar and Conference Call. I'll now hand over to Perseus Mining Managing Director and Chief Executive, Craig Jones. Thank you, Craig.
Craig Jones: Yes. Thanks, Nathan, and welcome to the Perseus Mining quarterly webinar to discuss our September quarter results. Firstly, it's an honor to assume the role of CEO of Perseus Mining following Jeff Quartermaine's retirement, and he's left a lasting legacy at Perseus. And I'm joined here on the call today by our CFO, Lee-Anne de Bruin. So thanks, Lee-Anne. And also, let me just start by acknowledging the exceptional efforts of our teams across the globe who worked tirelessly to deliver another strong quarter of performance for Perseus. So the September quarter marked another solid performance for Perseus in a year where all of our sites are transitioning into new mining areas. Amongst the change, we delivered strong operational results and continue to generate robust cash flows at the same time as marking meaningful progress on our growth initiatives. Firstly, our 12-month rolling average TRIFR is currently sitting at 0.6, which is a very credible performance. From a safety perspective, we're continuing to focus on our fatal risk management process and our Safely Home each day engagement program as the key pillars for our safety approach. Our gold production for the quarter was just under 100,000 ounces at an all-in site cost of $1,463 per ounce. So whilst our production is lower than the previous quarter, it's in line with our expectations and in line with our full year guidance. Combined gold sales from all 3 operations totaled 102,000 ounces sold at an average sales price of $3,075 per ounce, delivering a robust cash margin of $1,612 an ounce, capitalizing on strong market conditions. The notional cash flow for the quarter was $161 million, and we continue to build on our cash position with the quarter ending with a net cash and bullion of $837 million. The September quarter marked significant transitions for mining locations at Yaouré and Edikan. Yaouré transitioned from the CMA open pit to the lower grade Yaouré open pit, and Edikan's focus moved to the higher-grade Nkosuo pit following the completion of mining at the AG and Fetish pits. And I'll provide further details on this as we progress through each site's performance for the quarter. Starting with Yaouré. As mentioned, Yaouré gold mine operations have transitioned from the CMA open pit to the Yaouré open pit during the quarter. Yaouré open pit is geologically more complicated than CMA open pit, and there's been a strong focus on improving grade control practices to improve reconciliation to account for the shift in geology. We saw a significant improvement in reconciliation over the quarter with September's reconciliation being in line with normal tolerances. For the quarter, Yaouré produced just over 55,000 ounces of gold, which was 21% down on the previous quarter, but in line with our expectations. This reduction reflects the lower grade Yaouré ore consistent with the mine plan, and we can expect to see lower grades associated with the Yaouré pit for the remainder of the year. Production cost for the quarter was $829 an ounce with an all-in site cost of $1,110 per ounce. The all-in site cost decreased by 6% compared to the previous quarter, notably due to a decrease in sustaining capital associated with the timing of ongoing works on the tail storage facility, which was higher in the June '25 quarter -- FY '25 quarter. 57,000 ounces of gold was sold at a weighted average sale price of $2,959 per ounce, which delivered an average cash margin of $1,829 per ounce. Notional operating cash generated by Yaouré during the quarter was $102 million, so continuing to generate strong cash flows at Yaouré. Mill run time was steady at 94% with gold recovery remaining stable as per the previous quarter at 94%. Reconciliation between the block model and the mill for the last 3 months is 17% positive tonnes and 10% negative on grade for a 5% overall increase in contained ounces. A final goodbye cut was taken in the CMA open pit with the pit now being used as the access for the CMA underground development, which began during the quarter. The CMA underground will be the first mechanized underground mine in Côte d'Ivoire. And I'll speak further to the CMA progress later on in the presentation. At Edikan, during the quarter, Edikan produced 33,000 ounces of gold. Majority of the mining during the quarter was conducted at the Nkosuo pit following the completion of the AG and the Fetish pits. The land access of Nkosuo pit was mostly resolved during the quarter with mining of the footprint progressing. There were some challenging wet conditions from sustained rainfall that impacted the ore handling and dilution, resulting in processing of some of the lower-grade stockpiles during the quarter. Stripping was higher due to face positions and access sequencing of the pit as mining areas became available. Production cost for the quarter was $1,232 per ounce and an all-in site cost of $1,603 per ounce, which is $121 per ounce higher than the previous quarter, and the increase is mainly due to mining costs resulted from higher stripping waste stripping at Nkosuo. 31,000 ounces of gold was sold at a weighted average price of $3,337 an ounce, resulting in an average cash margin of $1,734 per ounce and a notional operating cash generation of $57 million. Mill run time and recovery were 94% and 87.7%, respectively, largely in line with the targeted key performance indicators. Reconciliation between the block model and the mill for the last 3 months is 11% negative on tonnes and 6% negative on grade for a 16% reduction in contained ounces. And this is mainly associated with the commencement of the Nkosuo pit and some of the challenging conditions that were experienced during the quarter. Plans are progressing to commence further cutbacks at the Fetish and Esuajah North pits in the next calendar year, consistent with the plans that we articulated in the 5-year outlook in June. During the quarter, Sissingué complex produced 12,000 ounces of gold and the Sissingué complex results were attributed to mining and processing operations at the Sissingué Gold mine and mining operations at the Fimbiasso pits located 65 kilometers from the Sissingué processing facilities. Production cost for the quarter was $2,458 per ounce and an all-in site cost of $2,745 per ounce. The increase in all-in site cost was a combination of increased royalties linked to gold price and higher production costs resulting from scheduled mill reline and surge bin apron feeder maintenance and an increase in waste stripping at Fimbiasso West, Sissingué Stage 4 and Airport West to access high-grade ore. 13,000 ounces of gold was sold at a weighted average sale price of $2,953 per ounce, resulting in an average cash margin of $208 per ounce and a notional operating cash flow of $2 million for the quarter. Mill run time was 91%, which was down from the previous quarter's 96% due to maintenance activities and gold recovery improved marginally to 90.9% from 88.3% in the previous quarter. Reconciliation between the block model and the mill for the last 3 months is 4% negative on tonnes and 14% negative on grade for an 18% reduction in contained ounces. The lower gold grade performance reflects the continuation of higher dilution than anticipated when mining the narrow variably mineralized structures of Sissingué Main, Fimbiasso West and Airport West pits. The 6- to 12-month trends demonstrate improving correlation with gold contained now tracking within 7% of the block model over an annual period and work is ongoing to -- on operational controls to minimize dilution. Ore grade is expected to increase with the mining of the Antoinette deposit at Bagoé, which is scheduled to commence in Q2 of FY '26. Construction of the site infrastructure is progressing well and remains on schedule. All major contracts have been awarded, and key contractor mobilization is proceeding as planned. So looking ahead for FY '26, our guidance remains unchanged. Gold production will be in the range of 400,000 to 440,000 ounces with production weighted to the second half of the year. Our all-in site costs will be between $1,460 and $1,620 per ounce. So our guidance includes Yaouré production reducing from this quarter, as we mentioned before, with all of the ore now coming out of the Yaouré pit. And Sissingué will increase production with access to the higher-grade material at Bagoé. Edikan also increasing production with the main source of the ore from the higher grade Nkosuo pit. So now I'll pass over to Lee-Anne, and she can talk about the financial aspects of the quarter.
Lee-Anne de Bruin: Thanks, Craig, and hi, everyone, on the call again. As mentioned by Craig, we have ended this quarter strongly with $837 million of cash and bullion on the balance sheet, slightly up on the June '25 quarter. The balance is after operating margin generated by our sites of USD 170 million. We've also spent on continued investment in organic growth at the sites about $14 million. Capital expenditure was in the region of $67 million for the period, which included $48 million that's been spent on the progression of the Nyanzaga development project, and about $12 million on the CMA underground at Yaouré. There's been continued investments in our host countries through the payment of a USD 29 million dividend payment, which was made to our government partner in Ivory Coast in relation to Yaouré and their 10% shareholding and ongoing payment of taxes in the country. Included in this cash flow was also $11 million on the previous share buyback program, where we purchased back AUD 84 million in total of the AUD 100 million share buyback commenced in September '24. The share buyback was renewed in September '25 for another AUD 100 million. We remain debt-free with the USD 100 million facility undrawn in place. Looking at our hedge position. As previously advised, Perseus continues to evaluate its hedging strategy in the current gold price environment. Our hedging program focuses on maintaining downside protection whilst retaining as much upside opportunity as possible while still observing as we do, prudent cash management practices. Giving consideration to the rising gold price environment we're in, during the year and particularly during the quarter, we have continued to roll off existing forward contracts, reducing our committed hedge position. Since the end of March '25, we have reduced our committed hedge position from 24% to 14% of our 3-year forecast production. In addition, during the quarter, we spent USD 1.7 million purchasing uncommitted put options at about -- at a strike price of about $2,600 per ounce as part of our capital allocation strategy, which seeks to maintain balance sheet resilience under a range of trading conditions. With that, I'll hand back to Craig to now talk about our organic growth across the group.
Craig Jones: Thanks, Lee-Anne. So moving on to the organic growth now, and there's been some fantastic development of our Nyanzaga project and CMA projects over the quarter, but we'll start off with Nyanzaga. So during the quarter, there were several important milestones achieved at our Nyanzaga project in Tanzania. We announced the signing of the critical elements of -- the critical agreements between the Tanzanian government and Perseus, mining subsidiary, Nyanzaga Mining Company Limited, locking in the key fiscal arrangements related to the project. We've been very active with our drilling program. And during the quarter, activities consisted of resource definition drilling on the Nyanzaga's Tusker and Kilimani deposits, along with sterilization and exploration drilling within the Nyanzaga mining license. Reconnaissance drilling on a cluster of exploration targets within the exploration tenements surrounding the Nyanzaga mining lease was also undertaken. This drilling continues with encouraging results that could support the potential for a resource and reserve update later this financial year. In terms of construction activities on the ground, you can see from the photos that we've been very busy. There's blinding, formwork and steel fixing commenced on the primary crushing, milling and CIL circuits and a second contract -- concrete contractor has been mobilized to site to provide additional capacity. Fabrication of the SAG and Ball mills are progressing well and are ahead of schedule. Both of which are on the project critical path. We've completed the bulk earthworks at both camp accommodation and treatment plant work areas and the roofing has been installed on the first accommodation blocks. The other buildings are progressing well as we work towards occupancy later this quarter or this coming quarter. Contracts have been awarded for the installation of the transmission line and transformers for the tie-in of the permanent power supply. We also continue to make great progress on the resettlement housing project with 163 of the total 262 houses have been delivered to project affected families. And as of the end of 19th of October, the number has risen to [ 181 ] homes. So overall, the Nyanzaga project remains on budget and on schedule with first gold anticipated in January 2027. As we announced during the quarter, a Presidential Decree Was granted authorizing the development of the -- and operation of the CMA underground at Yaouré. The first cuts of the Pauline decline were taken on Monday, the 29th of September, marking a significant milestone for the CMA underground project. You can see from the photos it's starting to look like a mine. And as of today, the Pauline decline has progressed to 69 meters. Phase support of the remaining 3 portals continued and mining of all 3 will commence early in quarter 2 of this current quarter. The administration building and fit out of the support buildings is complete. Other surface infrastructure, including camp facilities, electrical and maintenance areas to support the underground operations also continued during the quarter. With the commencement of mining of the decline, the next major milestone for the CMA underground project will be first ore production scheduled for Q3 of FY '26 with commercial production scheduled for Q3 of financial year '27. So great progress at CMA. So with sustainability. So alongside our financial and operating performance, Perseus continues to deliver tangible value to our host communities and governments, and this slide captures the breadth of our contributions. In the first quarter of FY '26, our total economic contribution reached $215 million across our host countries. This includes $141 million in local procurement, which directly supports national supply chains and local business development. We also contributed $58 million in taxes and royalties and $1.87 million in community contributions as we continue to support local development funds and key community initiatives. Our workforce overwhelmingly comes from the regions in which we operate with 95% of our employees from our host countries, and this is a reflection of our commitment to build local capability and building the skill base that we need for our future growth. Safety remains at the core of how we operated and achieving a TRIFR of 0.6 and an LTIFR of 0, making the full year without a lost time injury. That's a significant milestone and a testament to the safety culture that's embedded within our organization. We've also published our FY '25 Sustainable Development Report, which includes a refreshed sustainability strategy and a double materiality assessment. This ensures that our ESG priorities reflect both our business risks and the issues that matter most to our stakeholders, and I encourage you to read that on our website. Sustainability is at the core of our purpose and guides how we deliver results, creating value and building resilience. This is what makes Perseus a trusted partner in achieving its mission of creating material benefits for all stakeholders in fair and equitable proportions. So we continued -- so the September quarter capped off another successful quarter for Perseus. We continue to deliver solid operating performance, generate strong financial returns and progress our strategic growth projects, all while maintaining high safety and ESG standards. With a strong balance sheet, high-margin operations and clear growth path, we deliver -- we believe that we're well positioned to continue delivering long-term value for our shareholders. So thank you, and I'll now open the floor to questions.
Nathan Ryan: [Operator Instructions] Your first question comes from Reg Spencer at Canaccord.
Reg Spencer: Congrats on another good quarter. My first question is just in relation to Sissingué. Those -- that delay that you mentioned with respect to the mining conventions, is that got more -- does that delay more to do with the elections or the changes that were recently made to the mining code? Just trying to get a handle on the overall environment in Côte d'Ivoire.
Craig Jones: I mean the elections were held on Saturday in Côte d'Ivoire. And while accounts seems to have progressed pretty well, we obviously keep watching that over the next couple of days. In terms of the mining convention, that's -- we're just working through the process of obtaining those. It takes a little bit of time.
Lee-Anne de Bruin: Yes. I think, Reg, to your question, I think, no, it's unrelated to the mining code. But it's just -- as you know, during election time, it's hard to get people to put pen to paper. That said, we're quite progressed, and it's likely we'll get it sorted out. The mining convention, however, is not relevant to us commencing mining, however. It's just a matter of making sure we've signed up to all the fiscal arrangements that are agreed.
Reg Spencer: Understood. And last one, feel free, Lee-Anne or Craig to answer this, but I'd be interested to get your views on hedging. Gold price clearly very high at the moment. You've got a relatively low percentage of hedging, and I suppose that's good for cash flow at this point in time. But the outlook, is there an argument to put more hedges in place to lock in gold prices?
Lee-Anne de Bruin: Yes. I mean if I had a crystal ball and I knew where gold price was going, I'd be much richer than I am now, Reg. That said, as you know, we're always focused on disciplined cash management, and that's why we've shifted to the structure of paying some of our capital towards buying puts, which are relatively cheap at the moment. So although our committed hedging has come down, which is our forward book and our calls, the shift to puts allows us to protect the downside. So we still have -- we're still maintaining that downside protection through putting the puts in place. But those puts are not committed hedging. So we don't have to deliver them, but they are then allowing us to make sure that if gold price drops below $2,600 that we're relatively protected there.
Nathan Ryan: Your next question comes from Richard Knights at Barrenjoey.
Richard Knights: Just a quick one on Edikan. Obviously, production was down a little bit quarter-on-quarter. Just wondering about the access issues at Nkosuo. And I think you mentioned they're largely resolved. What is remaining? And is that going to have any impact over the rest of the year? And I suppose how should we think about the run rate at Edikan over the rest of the year?
Craig Jones: I think the way to think about the run rate for Edikan at the end of the year is, as we've said, it will increase to -- continue to increase in production as we get deeper into the Nkosuo pit. We've -- when I say largely complete, we've got the majority of access to the entire footprint now and continuing to mine down, which we do get a little bit out of sequence with the access issues we were having. So hence, the stripping that we talked about being a little bit more. And so we're just getting back into sequence now in the pit and don't expect to see any constraints for us moving forward.
Nathan Ryan: Your next question comes from Levi Spry at UBS.
Levi Spry: Maybe just at Yaouré, can you just maybe talk us through the profile over the remainder of the year as the underground ramps up?
Craig Jones: Yes. So obviously, we talked last quarter about the delays we were having in getting our Presidential Decree. So that's now resolved and behind us, and we're basically ramping up our mining progress for the CMA underground. And as I mentioned before, we're quite a way down the Pauline decline now, and we'll continue to get our rhythm and cycle times refined as we move forward. We're pretty confident that, that's going to progress well, and we should recover some of that time. But obviously, we need a little bit more time of mining before we can really go out and say that we are going to do that. So that's our primary focus at the moment is to get the mining operations efficient and turning over the heading so that we can recover that time.
Lee-Anne de Bruin: And Levy, I mean, just high level, as you know, as we happily mentioned it is because we're entering the Yaouré pit, your production that will come off slightly for Yaouré over the next 2 or 3 quarters given that you're in the lower-grade Yaouré pit and ramping up the underground.
Craig Jones: So we're essentially -- the majority of the gold for the year comes out of the CMA pit. There's only a small contribution from the underground.
Lee-Anne de Bruin: Yes, from the Yaouré pit.
Craig Jones: Sorry, the Yaouré pit. So that's our primary focus now is continuing, but the grades are lower.
Levi Spry: Yes. Okay. And if I can just ask one about Nyanzaga. So I think you mentioned the reserve and resource update coming this year. How do we think about the materiality of that, I guess, given the stage it's at, potential upside and then even the pricing assumptions that were used in the last cut?
Craig Jones: I think we'll have to wait and see for that work to be completed before we can give you any sort of indication on the materiality of that. But as we continue to do the drilling, we'll continue to update our models. We'll look at our assumptions around prices and so forth. And -- but everything seems to be going in the right direction at the moment.
Levi Spry: Yes. Okay. Maybe just on that. So the updates we get on the grade reconciliation across the operations, is there anything that has caught your eye in the time you've been in the seat when it comes to that?
Craig Jones: Look, I mean, that's obviously a core focus for us. I talked about Sissingué, trying to close the gap on that. There's been some good progress in terms of Yaouré, closing the gap on the reconciliation and tightening up our processes and mining practices, and we've seen some positive movements in that regard. So it's something that we'll be continuing to focus on. I mean there's a reason we put it in the report so that we can demonstrate that we are -- we have reliability in our ore bodies, and we have to mine them reliably as well. So very much a key focus for us.
Nathan Ryan: Your next question comes from Andrew Bowler at Macquarie.
Andrew Bowler: Just following on from the hedging questions. I'm not sure if you mentioned it earlier, Lee-Anne, but just the cost of those puts. I'm assuming that's caught up in the working capital and other line on the waterfall chart and just [indiscernible] that and how much you're willing to spend, I guess, every quarter from now?
Lee-Anne de Bruin: Yes. I mean we spent about, as I said, USD 1.7 million in the quarter. We've got a mandate from the Board to spend -- to not overspend on it, and we're continually looking at the cost of it, but puts at the moment are relatively cheap. I think we're paying between $40 and $70 an ounce or something is what we've been paying.
Andrew Bowler: No worries. And just another one, interesting comments on Sudan just talking about gradual improvement in security recently. I'm just wondering if that's going to affect the rate of spend for that project. Will we see an uptick for the remainder of the year? Or is the budget and it doesn't really matter if security improves, that's all we'll see -- excuse my voice, I should say?
Craig Jones: Well, I mean, look, the reports coming out of Sudan are positive, which is a good thing. Obviously, there's a little way to go before we see how all that pans out. But we'll keep watching that. In terms of our current plans, our current plans are as per our budget. And if things change to the point where we think that, that would change, then we'll let the market know. But at this point in time, we're continuing to progress towards our budget.
Lee-Anne de Bruin: Yes. And remember, Andrew, we've always said the security issues are quite minor for us given where we're located. The thing for us to make a decision there is to make sure the supply chain and logistics pieces are working because that's the most critical part probably to the project over and above security of our people.
Nathan Ryan: Your next question comes from David Radclyffe at Global Mining Research.
David Radclyffe: So it's early days for the question, maybe a little bit premature. But look, any thoughts on the opportunities you might have identified in the business so far? And then when you think to the overall strategy, are you sticking to this? Or have you thought of any way you might sort of think to tweak this in the future?
Craig Jones: Yes. Thanks for the question, David. Look, the plan is still the plan. So there's a solid platform that Jeff and the team have built over the years, and the company has enormous optionality in it. I think for us moving forward, we'll be focusing on delivering the 5-year outlook that's been presented to the market. And that means we need to continue to deliver on our operating performance. We need to focus on the delivery of the Nyanzaga project and ramp that up in the March quarter of 2027. We need to build and operate the CMA project. So that's a shift, the first underground mine in Côte d'Ivoire. But we'll also be focusing on extending the life of our existing assets and doing more exploration in the exploration space. So a lot of focus on near-mine exploration. We're also doing some greenfield work as well. And then beyond that, if any other options come our way, then we'll assess them on their relative merits. But the plan is to continue to run safe and efficient operations to continue to generate strong cash flows, continue to return capital to shareholders and continue our growth options at the same time. And we think that we're in a position that we can do that. So that's how we're thinking -- well, I say that's how I'm thinking about it, and we're thinking about it at the moment.
David Radclyffe: Great. That was very clear. Then maybe a follow-up on Edikan. So Nkosuo is ramping up a lot of volume of low-grade stocks processed this quarter. So is that going to be -- is that going to flow through to next quarter? And then when do the other cutbacks start to deliver ore?
Craig Jones: Yes. So the -- let's start with Nkosuo. A lot of the reason for the low-grade stocks at Nkosuo was the wet season, obviously, in Côte d'Ivoire at the moment, and that finishes pretty much this month. So we're expecting conditions to improve substantially for the rest of the year, and that will just really get us into the rhythm in Nkosuo and starts to deliver the higher grade that we're expecting. So you should see that grade improve throughout the year. With the other 2 pits, we'll start that stripping activities in the next half. And there's a fair bit of stripping before we get into the ore there. So it's more focused on next year's grade than this current year.
Nathan Ryan: Thank you. There are no further questions at this time. So I'll now hand back to Craig for closing remarks.
Craig Jones: Thanks, everyone. We're very pleased with the quarter that we've delivered. We're pleased that we're continuing to deliver strong operating performance and create strong financial returns. And really thankful for the hard work of our people across the globe who do put a lot of effort in, and that's one thing I've noticed about this company is there's a huge amount of personal ownership and discretional effort that sits within the organization, and that's what helps create the kinds of results that Perseus is known for. So thanks very much for your time, and have a good day.